Operator: Good day, and thank you for standing by. Welcome to Tabcorp Holdings Limited Half Year Results 2026. [Operator Instructions] Please be advised today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Gillon Mclachlan, Managing Director and CEO. Please go ahead.
Gillon Mclachlan: Good morning, everyone, and welcome to our results for the first half FY '26. I'm Gil Mclachlan, and I'm joined on the call by CFO, Mark Howell. I'm going to take the presentation as read and talk you through the key areas. Start on Slide 2. We released our revised game plan a year ago, and I believe we're executing on that plan. The numbers today reflect the progress we've made, and we're steadily building a culture of doing what we say we will do. And for me, that's critically important. I want to stress that we're midway through our turnaround plan, and there's still work to do. We're not yet at the level I want us to be, but I'm pleased we're on track against our FY '26 objectives, and we made good progress in the first half. Our improved execution continued with AFL Miss-By-One and Mega Pot during the footy season. We showed up strongly through the Spring Carnival with TAB Takeover and TAB Time continue to sell out. The Spring Carnival, however, was a customer's carnival. Yields from September and November were historically low because of an unusually high number of favorites winning major races. Despite those challenges, the diversification of our business allowed us to deliver a pleasing result. It was a company-wide effort, cost and capital discipline and improved omnichannel customer offering and growth in MAX. These are the outcomes of creating a better company with greater capability. If you look at Slide 6, we continue to execute our best pillar of the appointments of general managers to lead retail, MAX, marketing and strategy. People are everything, and these appointments are part of our continuous journey of improvement. I'll now refer you to Slide 7 and our second pillar. We are going to deliver a national Tote and our target remains the end of this financial year. One pool will increase liquidity of partners and in time, create new product opportunities. Australian racing also have a greater global reach and potential for more world pools, which will better connect us to a global calendar. I want to acknowledge the principal racing authorities in each state are working collaboratively on this opportunity. Our in-play product, TAB Live, is progressing. And we recently received ACMA clearance, and we are now working to build our launch plans in New South Wales. Discussions with other states are advanced. On this slide, I also want to call out our Integrity Services business MAX. With a consistent and growing business, and our key partnerships are renewed in the half, and we're looking at opportunities which could expand our footprint. And now I'll push you to Slide 8. The core pillar of our game plan is to deliver unrivaled omnichannel experiences. We continue to innovate with new products and a better looking field to create a greater, genuine racing and sports entertainment offering. TAB Time was the first to launch and a sell out every week since the project commenced. Sold out in a record 3 minutes on Sunday. TAB Takeover highlights how all of our assets coming together to deliver something unique in the market. We're delivering exclusive in-venue generosities that incorporate both racing and sport, encouraging more people to attend venues. We have a strong product and generosity pipeline for both AFL and NRL seasons which we launched in venues this week. Pushing to Slide 9 now. And the TAB brand is becoming more youthful, sports-oriented and experiential. Turnover among 18 to 24 year olds was up 14% in the first half '26. I want to touch on Liv Golf and Superbowl as an example how we're talking to a new cohort of sports fans. We know customers want live experiences and attention spans are getting shorter. Story sales and brand connection is increasingly more important. Tentpole assets like Superbowl and Liv Golf are examples how we are delivering in this space. We'll be activating our brand and entertainment propositions across these assets and showcasing these activations on TAB-owned channels. We'll be visibly branded more than just raced. Flemington and Randwick will continue to be our flagship properties, and we know we also need to connect with more sporting audiences. On Slide 10, some numbers there, and this refreshed offering is delivering. Digital and venue turnover increased 12% in the half, including growth in sport of 26% and 42% growth in the 18- to 24-year-old cohort. Looking ahead, next-generation EBT will commence rollout in July, and in conjunction with TAB Live will further differentiate our offer in the market. Slide 11. Our fourth pillar has been delivering growth underpinned by a sustainable retail channel. To this, we'll invest in retail, we're redirecting generosity, developing new products and rolling out modernized betting terminals to attract customers and grow turnover for benefit of TAB and our venue partners. This enables us to create a structurally profitable channel that is sustainable. This drives a new commercial model that improves alignment with our partner venues and simplifies the existing framework. Finally, Slides 12 and 13 showcase our media business. I said in August, the look and feel of scale will be different during the Spring Racing Carnival and the team delivered. We introduced new content, evolved our talent and overhauled our magazine programs to remain contemporary. Our leading tipsters have a permanent place in the home page of the TAB app. Every partner can access the tips with prefilled bets, continues our evolution to a true omnichannel experience. We have also strengthened our core rights portfolio, including Victorian media rights domestically and internationally. Our focus remains on enhancing our core offering and content and expanding distribution both in Australia and internationally. I'll now hand over to Mark to talk you through the detailed financial results.
Mark Howell: Thanks, Gil. Good morning, everyone. As Gil mentioned, the growth in earnings in the first half '26 reflects a modestly improving turnover environment, strong strategic execution and cost and capital discipline. We have delivered a pleasing set of results given the impact of below-average wagering yields and have responded to the revenue environment with continued focus on cost control and disciplined capital investment. This has led to earnings growth, margin expansion and a reduction in our leverage ratio to 1.5x net debt to EBITDA at the end of the calendar year. Before I run you through the results in detail, there are 4 key aspects I want to call out. First, domestic wagering revenue pre-VRI impact fell by 2.5% despite modest growth in turnover due to below average yields during the half. The reduction in yield versus longer-term averages was due to run of customer-friendly results during the NRL AFL finals and through the Spring Racing Carnival. Some of these softer yield was recovered through the back end of November and in December when yields were very strong. We estimate the net yield impact across the period was around 15 basis points or about $10 million of net revenue when compared to longer-term averages. Second, the benefit of the reform Victorian wagering license applies for the whole 6 months, on the half versus only 4.5 months in the PCP. We estimate this delivered an incremental $12.2 million of EBITDA in the first half '26. Third, we continue to focus on improving cost discipline across the business. OpEx adjusted for the reform Victorian license decreased by 3.7%. This, together with some modest revenue growth and some benefits from Phase 1 of the new retail commercial model helped us deliver operating leverage and a 190 basis point improvement in EBITDA margin to 16.2%. Fourth, we continue to focus on efficient investment and capital. In the first half '26, CapEx reduced by 11% on the PCP to $51 million. This provides additional capacity to invest in growth for the second half including the rollout of new modernized betting terminals in retail venues to support an improved customer experience in venue and support our omnichannel strategy. Our leverage ratio reduced to 1.5x, providing us with significant balance sheet flexibility as we deliver our strategy. So now moving on to the results. Slide 15 sets out the first half '26 group financial results. Group revenue grew 1% to $1.34 billion, variable contribution increased 4.3%, while reported OpEx decreased 1.1%, delivering 14.3% growth in EBITDA to $217.4 million and 18.9% growth in EBIT to $110.2 million. Net interest expense decreased due to the reduced net debt as we continue to delever. As discussed in prior Tabcorp results, the high effective tax rate in P&L was driven by nondeductible weak license amortization and the interest discount unwind. And finally, NPAT before significant items, grew at 61.5%. An interim dividend of $0.015 per share has been declared, representing a 56% payout ratio and a 50% increase on the PCP. For the remainder of the presentation, I'll focus on 3 areas: the drivers of EBITDA growth, cost control to deliver operating leverage and a strengthened balance sheet. So turning to Slide 17, you can see the drivers of the 14% EBITDA growth delivered during the half. We are pleased to deliver this level of earnings growth in line with modest turnover environment, which, as I've already discussed, was also impacted by unfavorable yields. The incremental earnings uplift from the reform Victorian wagering license contributed an incremental $21.7 million to VC, which was offset by $9.5 million of costs to deliver a net benefit to EBITDA of $12.2 million. As discussed earlier, this was partly offset by the impact of VC of the low average wagering yields. Other benefits to earnings include the increase in Integrity Services VC as a result of the annual CPI increase as well as increased project work and some benefit to VC from Phase 1 of the new retail commercial model. Underlying costs improved by $13.5 million, which I'll turn to now. Slide 18 demonstrates the focus on costs, which we have had over the last 18 months with first half '26 OpEx benefiting from the annualization of actions taken in F '25 as well as the continuation of cost discipline on discretionary costs. Cost inflation remains an ongoing headwind, particularly in technology. So we have more than offset this for $13.9 million of cost reductions and a further $10.5 million of cost benefits relating to A&P timing and some other smaller cost-related actions. Looking forward in the second half, we continue our ongoing focus to offset inflation. We also expect to incur additional advertising and promotion spend of around $5 million in relation to the 2026 FIFA World Cup. Slide 19 demonstrates a continued focus on capital discipline with CapEx for the first half '26, reducing 11% to $51 million. Together with the increase in profitability, this has driven a 360 basis point return -- basis point improvement on return on invested capital relative to the prior corresponding period. Our F '26 CapEx forecast remains unchanged at $120 million to $140 million, implying an uplift in the second half run rate related to the rollout of the modernized betting terminals under the new retail commercial model. Turning to Slide 20 and cash flow. Underlying cash conversion was 86%, impacted by the timing of some large payments in the first half. This is in line with expectations and similar to the first half of last year. We continue to expect that on a full year basis, cash conversion to be between 90% and 100%. One point to note is that cash interest expense of $54.6 million includes $24.9 million of interest relating to our annual payment each August for the Victorian license. This will not reoccur in the second half. So all things being equal, the cash interest in the second half should be closer to $30 million. On to Slide 21. In November, we issued $300 million under a new Australian medium-term note program. The notes carry competitively priced fixed coupon of 5.99%, and a tenor of 5.5 years. The AMTN delivered on our 3 objectives being to diversify our funding sources, extend our average maturity, which now stands at 5.4 years and increased liquidity. The strong AMTN outcome reflected the significant improvement in the company's prospects over the last 18 months. Slide 22 shows that our balance sheet remains strong and provides us with the necessary flexibility and funding capacity to pursue with our strategy. At 31 December, leverage is 1.5x, well below our target range of less than 2.5x through the cycle. As I remarked at the outset, overall, this is a sound result, and we continue to deliver on our strategic agenda. I'll now hand you back to Gil for some closing remarks.
Gillon Mclachlan: Thanks, Mark. I believe the company continued to improve over the last 6 months. Our turnaround plan is on track. Earnings have increased. We continue to deliver meaningful cost savings and our balance sheet is in good shape. We are focused on executing our strategic agenda of the remainder of FY '26 and beyond, and we're going to be relentless in executing it. We expect the wagering turnover environment in the second half to be similar to the first half, and I'm pleased with the progress and happy to take your questions.
Operator: [Operator Instructions] First question comes from Andre Fromyhr from UBS.
Andre Fromyhr: First, I just wanted to focus on the turnover environment. You called out in the second half, you're expecting similar conditions or the outlook looks similar to what you've seen in the first half. Is that a comment technically around sort of the level of growth in terms of like a year-on-year growth rate? Or are you talking more in overall dollars of turnover. And I'm wondering as well if you can distinguish between the cash environment and the digital environment because it looks like cash has outperformed in both the turnover growth and yield perspective in the half year just reported.
Mark Howell: Yes. Thanks, Andre. It's Mark. We're talking about growth. So I think we talked about turnover growth for the half -- first half being around 0.3%. We have seen in that a range of what we call modest growth, and we sort of see that continuing. We don't -- I mean, in terms of the dissection between digital and cash, I'm probably not going to give you a forecast on that. But obviously, we're just sort of pleased with good trends we've been seeing as we've sort of exploited, I suppose, our omnichannel assets.
Andre Fromyhr: Maybe another way to ask that, like in terms of the mix of your cash business versus digital like how much of a role is that playing? Because it looks like racing as a category was weaker than sport, but also is this part of the strategy playing out that you're having more success through building participation in retail venues?
Gillon Mclachlan: Yes. Thanks, Andre, it's Gil. We certainly see -- we're very confident in our retail strategy. We see obviously the DIV off low basis, the digital venue going up. Cash is in positive growth. And with some of the strategic things we're announcing today, whether it be the approval from ACMA or different -- the success of different products in retail, it's central to our strategy, and we see underpinning our numbers.
Andre Fromyhr: Maybe just last one for me and following up on the retail strategy. I understand Gil, you sort of launched the new framework with your venue members late last year, doesn't come into effect until the middle of this year. But what's been the reception so far? Is it right to assume that there are some venues that are going to be better off immediately versus worse off immediately? And are you expecting any sort of attrition in your venues as you transition to the new model?
Gillon Mclachlan: Thanks, Andre. I mean we are -- we put retail at the center of our strategy, and we've called out the cash numbers and I called out the digital venue numbers that's been strong. The model is simplified. We're going to invest more in the network than the changes and we're working through that. We think broadly speaking, we're on track to deliver that new commercial model, and we're actively engaged with the venues through that period and comfortable where it's at.
Operator: Next, we have Matt Ryan from Barrenjoey.
Matthew Ryan: I was just interested in some of the comments around TAB Time and some of the growth that you're seeing from your younger cohort. And if you could just provide any color on and what you're seeing there? Obviously, that's the pretty strong numbers, the benefits that that's giving to your business?
Gillon Mclachlan: I think, Matt -- so it's Gil. I think the standout number in the deck is the fact that across the board of total turnover, the 18- to 24-year-old category grew by 14.2% -- over 14%. And that's what I feel when we're talking about our push to talk to sport as much as racing to be younger and more experiential and activate all our assets in that energetic way, whether it's TAB Time or TAB Takeover or whatever, that number is the one that jumps off the page, I think what it means to us is some different numbers in retail specifically. But 14% across the board, not just in retail in terms of the turnover increase, I think is one that says our brand repositioning is trying to get some traction. And it's early to talk to , I called out -- sorry, Matt, I've called out for the experiential part of that and that sort of energetic piece, but those products through omnichannel through retail that are obviously, I think, are important in all that, which I think you're calling out, certainly, that's my perception of your question.
Matthew Ryan: Yes. That's what it looks like. I was going to also just ask about Phase 2 of the new retail commercial model. I think you mentioned that EBT may be arriving in the middle of this year. If you could just I guess, talk about what the key features are of that Phase 2? And any comments around phasing or timing?
Gillon Mclachlan: Yes, we'll start rolling out the first week of July. EBTs are in production. I think what I'd say to this, they obviously aesthetically functionally compliance or all significant improvements. They facilitate the use of cash, clearly, but also tap and play functionality. There's -- I think on a compliance basis, we are future-proofing what we can do that to be a safe and compliant retail network. Not only new hardware, but all the software is being replaced and redeveloped so that ultimately, any changes -- well, first of all, the EBTs, you interact, there will be the same functionality and same look and feel as the TAB app on your phone. So -- and then any upgrades and product development that plays out through the phone will play out through the terminal. So there'll be -- so if we talk about having a seamless TAB experience, that will play out both in venue and cash in the same way is using your phone. I think that's significant progression. So not only how looks and feels, it's all of the side of the product, the fact that it's digital and cash and as obviously, have some compliance benefits as well. And it would talk to the future state of the full maximization of our license. So we think it's a very critical part of it. And we'll still start rolling out nationally first week of July.
Operator: Next, we have David Fabris from Macquarie.
David Fabris: Can I just start off with in-play betting. Great to see you've got the ACMA clearance now. Are there any more hurdles that we need to think about? And can you provide a time line for the rollout across all your jurisdictions? Or is this more just a New South Wales piece upfront?
Gillon Mclachlan: Thanks, David. I think it's -- you can draw the line that we want to be in lockstep with regulators. And we have the approval in New South Wales, and we're obviously well engaged with all state regulators. But the ACMA sign-off was important. So we've paused because we don't want to be out of step with anyone. With that approval coming through and being confirmed yesterday, it means now we will actively start rolling out in New South Wales and then get the work through the approvals in each state. So the timing of those, I don't know, will be, but obviously, we're ready to go in New South Wales. I'm confident given the discussions we've had that we're now, with the ACMA approval that will play out, and we'll push ahead quickly. Does that make sense?
David Fabris: Yes. No. Crystal clear. That's fine. I appreciate that. The next question, I don't know how you'll take this one, but just curious to understand the place of BetMakers. I mean are you signaling that there might be some shortfalls in your tech stack that BetMakers may have been helpful with? And I'm curious to unpack that piece because if we think about BetMakers, they've got retail terminals and a global tote. So any commentary there would be helpful.
Gillon Mclachlan: Thanks, David. I'll make some comments. First of all, I don't believe we've been in the position for the last -- I mean whether it is 17 or 18 months. I don't think we've been in a position, and we've been clear with you guys that our primary task was to get fit and get our house in order. And I think the fact that we are working through that phase, and I do believe we are now organized in a position that if there was a corporate opportunity, we're in a position with our balance sheet and our operating model to look at that. I would say to you that we are still focused on growing our business operationally and executing on the strategic initiatives in front of us. If any corporate opportunity presents itself, it would have to be absolutely on strategy and any opportunity we will be absolutely disciplined about price and about how we look at it. With respect to BetMakers, we haven't made any comment. I know BetMakers did. I would say I don't think you should draw a line. The fact that it was a tech sale necessarily. There'll be some tech advances and other broader strategic opportunities in why we had to look at that. But ultimately, it didn't make commercial sense to us because we're going to be disciplined about things and they have to really stack up, absolutely. And I think there'll be other stuff around that people want to put to us from a position to talk to people, but you guys need to know it will have to be a great strategic fit, and we'll be disciplined about anything we look at. I would add, David, there in terms of the tech piece. I want to commend the work that our CTO has done in the last year and the stability of our platform and the way our tech environment is working both with an app and across retail and what we're able to do functionally and the upgrades and the controller set, I feel we made great progress on our technology. And I'm just adding to your specific question.
Operator: Next question comes from Justin Barratt from CLSA.
Justin Barratt: I just wanted to follow up on the TAB Live question. I appreciate you're developing the launch and rollout plan for New South Wales. But I just wanted to try to get an indication of how soon that could potentially start rolling out? And I guess whether that is included in your FY '26 CapEx guidance, if you think it can be commenced in the next few months.
Gillon Mclachlan: Yes. So the TAB -- I'll let Mark talk to the CapEx guidance, but there is obviously EBTs in there, and they are -- they do have the functionality to do with TAB Live, but they are broader than that. Obviously, I think we're well progressed and positioned with state-based regulators. I don't want to preempt how long that would take. But I would say that we've been progressing our operating and operational plans for the rollout of TAB Live, confident in our position with ACMA, which was endorsed yesterday, and I think we're well advanced. And there'll be -- Mark might talk to the capital provisions.
Mark Howell: Yes. Thanks, Gil. Yes. So the answer is yes. Within the -- on the life of the $120 million to $140 million, there is an allowance for terminal spend and having play stations in the second half, which will be rolled out into next year. There will obviously be some spend next year that will need to be incurred that I'll provide some guidance on that at the end of the year. And what I'd say to what my speaker notes earlier was that the uptick in run rate from a capital spend into half 2 will be largely driven by that terminal spend for the new -- to support the new retail and commercial models.
Justin Barratt: Yes, fantastic. Okay. And then, Mark, just while I've got you, I just wanted to see if you could divulge a little bit more around the cost reductions that you saw in this first half. I appreciate some of that has been the annualizing of processes or cost out from the prior year. But I was just wondering if you could actually split it out and help us understand what potentially came from initiatives introduced in this financial year to date, please?
Mark Howell: Yes. Most of it is -- the vast majority of it comes from -- Justin, from actions we took in FY '25. Obviously, the biggest one was the zero-based design that we did towards the back end of the financial year that's fine through this year and will play into half 2 as well. There's also some other smaller, call it, structural cost benefits that we took that part of that $13.9 million that we called out in the OpEx bridge. And then the other part, the sort of $10.5 million is really around sort of tighter spend on some discretionary costs. We've talked about some benefit from A&P timing and some of that A&P spend, as I called out, will be incurred, about $5 million of that will actually come into half 2 to support the 2026 FIFA World Cup.
Justin Barratt: Yes, okay. So let me just to follow that up. I mean in terms of the A&P spend, is this a new baseline for us to sort of think about A&P spend going forward? Or is it just the timing event this half that sort of drove that cost reduction?
Mark Howell: Yes. So about half of that $10.5 million was the A&P and that, as I said, that will go into half 2. So I think across the year, you'll see it sort of -- you should be able to work out then what that brings based on spending patterns.
Operator: Next, we have Kai Erman from Jefferies.
Kai Erman: First one is a bit of a follow-up from David's question earlier. You mostly flagged a sort of your CapEx reduction yet in the first half and given CapEx guidance for the full year, you'll likely continue to delever this year and you're below your target gearing? Excluding any sort of M&A, how should we think about uses of capital balance sheet, capital management going forward?
Gillon Mclachlan: Thanks, Kai. Look, I think what I've sort of said to help you decide. There are a number of relatively sizable payments in the first half that impacted cash flow. So to call a couple of out, a big license is the $30 million value-add contribution where the liability is paid in the first half and then some sponsorships are weighted into first half as well. So -- and then I've given you sort of the capital envelope for the second half. So that's sort of as you think about cash and cash flow, and I suppose the other piece of the puzzle is we've said that we expect cash flow conversion to be in that 90% to 100% range. So I think that should give you sort of all of the building blocks as it relates to sort of capital allocation for the year.
Kai Erman: And then as a follow-up, the sort of trend of sports outperforming racing has seemed to continue. Based on your turnover numbers, do you guys think you're sort of outperforming the market in those categories? Or that's pretty reflective of what the market has sort of done in the last half?
Gillon Mclachlan: Well, I think it's hard to know that. We just focus on what we are doing. I think everyone will have a better idea over the coming days, but there's also a lot of numbers out there that no one gets to see. So we're just focused on being better and growing our business. I'd say also that sports outperformed racing is leveling out and stabilizing, which I think is pertinent.
Operator: Next, we have Rohan Sundram from MST Financial.
Rohan Sundram: A question on the national tote. Apologies, Gil, if you already touched on it, but how -- it looks like everything is progressing in terms of time lines, how would you describe the industry discussions and engagement to date? And maybe if you can just reiterate the upside for customers and for Tabcorp in achieving this?
Gillon Mclachlan: Thanks, Rohan. I think I called out in my commentary that I'm appreciative of the support of all the PRAs and the ability to lean into this. There is -- it is change and we've had strong support. And I think there is a mandate to go to a national tote, it's unequivocal now. Our tech development is largely complete and getting regulatory approval in most jurisdictions. We think we've got a commercial model that could take us through. And so there's some executional stuff to play out, but we feel actually we're on target to deliver in this financial year in terms of what that brings. I think the liquidity that will bring will actually generate its own additional liquidity, and that's also important here. And with that, then that hopefully, we're confident will then also bring the opportunity for product development and broader international co-mingling and liquidity opportunities. So it will -- the liquidity will actually drive, I think, broader liquidity. We will develop products and hopefully not just products for racing, but also sports and also there is international co-mingling opportunities. So I think it's a very important thing for us. I'm pleased with where we are in a very difficult thing, both sort of politically, technically and commercially to get done. I feel we're going okay.
Operator: I see no further questions at this time. I will now hand the conference back to Gillon for closing remarks.
Gillon Mclachlan: Thank you. Thank you all for your questions. Thanks for dialing in. I think I'll just reiterate where I finished, we are operationally going better every day, but we've got work to do. We're very comfortable with our strategic plan and where we're going and we've got high conviction on that and I think certainly across the business, I think we're starting to see some of that come through in our numbers, whether it's younger customers or what's going on in retail. We've got a lot of initiatives on the boil that we need to get done. We've confirmed where we think the market is going, and we're pleased with but not overconfident. We know we've got lots to do, but happy to be where we're at, at the half. Thanks for your support ongoing. I look forward to seeing you guys out over the coming days. Appreciate it. Thanks, everyone.
Operator: This concludes today's conference call. Thank you for participating.